Operator: Thank you for standing by ladies and gentlemen and welcome to the Euroseas Conference Call on the Second Quarter 2019 Financial Results. We have with us Mr. Aristides Pittas, Chairman and Chief Executive Officer; and Mr. Anastasios Aslidis, Chief Financial Officer of the company. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session [Operator Instructions] I must advise you that this conference is being recorded today. Forward-looking statements, please be reminded that the Company announced the results with a press release that has been publicly distributed. Before passing the floor to Mr. Pittas, I would like to remind everyone that in today's presentation and conference call, Euroseas will be making forward-looking statements. These statements are within the meaning of the Federal Securities law. Matters discussed may be forward-looking statements which are based on current management expectations that involve risks and uncertainties that may result in such expectations not being realized. I kindly draw your attention to Slide 2 of the webcast presentation, which has the full forward-looking statement and the same statement was also included in the press release. Please take a moment to go through the whole statement and read it. And now I would like to pass the floor to Mr. Pittas. Please go ahead, sir.
Aristides Pittas: Good morning, ladies and gentlemen, and thank you all for joining us today for a scheduled conference call. Together with me is Anastasios Aslidis, our Chief Financial Officer. The purpose of today's call is to discuss our financial results for the three months ended June 30, 2019. As a reminder, I would like to mention that on May 30, 2018, the Company spun-off its drybulk fleet, excluding M/V Monica P, a handymax drybulk carrier, which was agreed to be sold into EuroDry Ltd., a separate publicly listed company also listed on the NASDAQ Capital Market. Shareholders of Euroseas received one EuroDry share for every five shares of Euroseas they held. As a result of the spin-off and the subsequent sale of M/V Monica P, Euroseas has become a pure containership company and the only publicly listed company concentrating on the feeder containership sector. The results below refer to Euroseas Ltd continuing operations excluding the contribution of vessels spun-off into EuroDry Limited in May 2018. The historical comparative periods have been adjusted accordingly. Now please turn to Slide 3 to see our income statement highlights. For the second quarter of 2019 total net revenues were $8.1 million, net loss was $0.7 million, net loss attributable to common shareholders, after a $0.48 million dividend on Series B Preferred Shares and a $0.5 million preferred deemed dividend, was $1.7 million or $0.14 loss per share basic and diluted. Adjusted net loss attributable to common shareholders for the period was $1.8 million or $0.14 per share basic and diluted. Adjusted EBITDA1 was $1.6 million. With an increase in the size of the fleet, which was concluded beginning of August and assuming we will be able to re-charter vessels opening up within Q3 without waiting time. We forecast that the company should withhold profitability in Q3. Please turn to Slide 4 for our chartering and operational highlights. Let's start with our chartering activity. EM Oinousses was fixed for 6 to 12 months at $8,700 per day as of June 7. Unfortunately, the vessel incurred a waiting time of about a month prior to commencing this new charter. Aegean Express was extended from eacrly June for three to five months at $7,300 per day with the same charters. The EM Astoria was also extended for 5.5 months to 7.5 months at $8,500 per day plus a six month option to the charter at $9,500 per day. No vessel was docked during the second quarter. Please turn to Slide 5, previously announced partial bank debt refinancing and preferred equity redemptions was smoothly concluded by end of the second quarter. Refinanced M/V Evridiki G and M/V Astoria drawing $4 million of incremental cash from our existing Eurobank credit facility. Additionally we agreed to release $4 million of cash collateral and decreased their overall bank debt cost on our now 11 vessels by 50 basis points, bringing the new margin to 3.90%. We used the above funds plus existing unrestricted funds to reduce the total preferred equity to $8 million, i.e. a reduction of $11.7 million. And agreed with the remaining Preferred Equity holders to a reduction of the preferred dividend rate from 12% to 8% until January 2021 when it increases to 14% as per the register related to the agreement. These transactions resulted in an annual cost saving of roughly $1.4 million in interest and preferred dividend payments. There is about $4.8 million remaining revolving debt capacity under our Eurobank facility that we are able to tap for future acquisitions. Please turn to Slide 6 where we describe our transformative fleet expansion activates. The acquisitions announced in June 2019, of four vessels from affiliates, EM Hydra, EM Spetses, EM Kea and M/V Diamantis P, have been completed and the vessels were delivered to our fleet in the beginning of August. The vessels were bought through a combination of shares and cash. The transaction was approved by a committee of disinterested independent members of the Board of Directors. In total, we issued about 22.5 million shares to the sellers of the vessels and paid $15 million in cash which was used to repay existing indebtedness of the vessels with the sellers receiving only Euroseas shares. We drew bank loans to finance the cash portion of the acquisition. The acquisition of a younger fleet reduced the overall average age by more than a year and increased fleet size by more than 35%. We reinforced our position as the only publicly listed containership feeder company, as well and made another step in using our public platform to consolidate other fleets. On Slide 7, you can see our see our new current fleet profile of 15 container vessels with 457,000 deadweight and 34,000 TEU capacity, with an average of 19 years. Please turn the Slide 8 for fleet management and operational performance. Over the last five years of operational fleet utilization has been in excess of 97.6%. Euroseas has an outstanding safety and environmental record, but at the same time the company has managed to keep its cost low. For the second quarter of 2019 operational fleet utilization realization was 100%, compared with 93.9% the same period last year. Commercial fleet utilization rates in the second quarter of 2019 was 96.7%, compared to 99.8% the same period last year. The niche from the hundred percent target coming from the waiting time of Euroseas. Our daily cost per vessel for the second quarter of 2019 was in line with our budget and similar to previous years. The graph on the page compares daily cost excluding drydocking since 2010 without our peers. Overall our costs remain amongst the lowest over the public shipping companies. Let's move to Slide 9 to view our fleet employment chart. Based on estimated logical durations as of September 1 we have about 71% coverage for the remainder of 2019 and 82% coverage in the remaining third quarter. Our focus remains on ensuring that vessels remain employed for periods up to a year and available to benefit from the possible market strengthening. We have put the first two vessels opening up during the third quarter, on subjects for extending the existing charters at same age and direct continuation for another three months. We will note the charters will lift their subject by mid next week. Please turn to Slide 10 for containership market highlights for the second quarter. Time charter rates in the second quarter for feeder and intermediate size vessels ranging from 1,000 to 5,600 teu rose about 4% to 25% on average during the quarter, with the bigger rises in the above 5,000 teu wide beam vessels and the 1,700 teu segment. The 1,700 teu geared vessel rose from an average of $7,000 in the first quarter to $8,150 in the second quarter and currently stands at around $8,800. The 2,500 teu geared vessel rose from an average of $9,200 in the first quarter to $9,235 in the second quarter and currently stands at same level. Average secondhand prices for older than 20-year old vessels remained around scrap prices in the second quarter. However, younger vessels about 10 years old there was a drop by about 10%. Newbuilding prices for Tier 2 no scrubber and China built vessels remained stable at around $23.5 million and $29 million respectively for the 1700 and 2500 teu vessels.  Idle fleet was 486,000 teu as of July 22, or 2.1% of the fleet. This includes however idle due to scrubber retrofitting, which are mostly the larger vessels. Scrapping in the second quarter remained at the same levels as in the first quarter relatively low for the current market. The fleet grew by overall 2.4% year-to-date without accounting for idle vessels reactivation, et cetera. Please turn to Slide 11. The IMF projected world GDP growth in 2019 is the revised downloads from 3.3% in the previous quarter to 3.2% with the reduction stem for mostly all bigger companies except the U.S., which was revised upward from 2.3% to 2.6% and the Eurozone, which remains in stages 1.3%. Most significant reduction in projected growth was in Brazil, which was further reduced this quarter from 2.1% to 0.8%. China was revised down by 0.1% to 6.2%. India down by 0.3% to 7% and Russia down by 0.4% to 1.2%. For 2020, global GDP growth bounced to 3.5% as per the IMF, which is however lower than the expectation of the previous quarter by 0.1%. U.S., Japan and China are expected to decline relative to the IMF 2019 expectation. The other major players, however expected to improve slightly. In terms of demand for containerized trade demand measure in teu per mile is expected by Clarkson to grow slightly lower compared to world GDP growth at 2.9% in 2019 and 3.3% in 2020. These rates are also lower than Clarkson’s previous quarters three months ago reflecting the continuation of the trade war, mainly between the U.S. and China. For now 2021 is expected to be slightly better than 2020 both as far as global GDP and containerized trade are concerned, but it's obviously too early to have a strong conviction. Please turn to Slide 12 to review the containership age profile and orderbook delivery schedule. As you can see on the containership age profile chart on the left side of the slide, which shows a young fleet with a mere 6% of ships being over 20 years old. On the right side, the chart shows delivery schedule of the cargo containership orderbook, which is expressed as a percentage of fleet. The deliveries are expected to be around 5.6% of the fleet in 2019, 5.4% in 2020 and 2.8% in 2021. I note that for the years prior to 2019, scrapping and other additions and removals were taken into account when calculating the fleet percentage changes you can see in the graph. Based on 2019 onwards, these activities are not included in the calculation, subtracting expected scrapping and cancellations, we can see that fleet growth should be reasonably low from 2019 to 2021. Please turn to Slide 13, to view the 1,000 to 3,000 teu Fleet Age Profile & Orderbook Delivery Schedule, which is the segment we are focusing on. In our segment, 17% of the 1,000 to 3,000 teu fleet is over aged. The delivery schedule of the orderbook in 2019 is estimated to be 5.6% of the fleet growing to 6.8% in 2020 and dropping to 2.9% in 2021. Fleet growth of feeder fleet is expected to be around 2% in 2019 taking scrapping trends into account, which compares well to the expected demand. Now please turn to Slide 14 for our outlook summary for 2019. 2019 year-to-date has shown a tightening market after January. However, rates remain relatively low as idle fleet is still not fully absorbed and cascading is still very much happening. Our supply and demand analysis, which is based on Clarkson’s expectations for container trade growth suggests a modestly improving market in 2019 and 2020, firming up again in 2021, if only a few additional orders are placed to deliver. The fundamentals for the sub 5,000 teu vessels, which seemed better than for the larger vessels, have deteriorated EBITDA over the past months as the orderbook has swollen again following the recent feeder ordering. However, demand prospects for feeder size vessels remains positive despite a very slow first half as most of the growth in these sizes comes from intra-Asia trades, where robust growth is expected to continue in the years to come. Environmental regulations coming into effect in 2020 create additional uncertainty as ships will be taken out of service to install scrubbers already in 2019 and the probable increase in low sulfur fuel prices can result in further slow-steaming which, in turn, could help strengthen the market. Developments of the U.S., China, EU trade issues, of course, would affect the near and medium-term market prospects. Let us turn to Slide 15. The left side of the slide shows the evolution of the one year time charter rates for containers of 1,700 teu since 2000. Container age for vessels of our size, we covered strongly from the all time lows and came close to the historical level in the summer of 2018 prior certain again a bit during second quarter of last year, but recovering again the first half of this year. The right hand side of the slide shows vessel values relation to historical prices since 2000. As you can see, containers values are still below the medium historical values. I will now pass on the floor to our CFO, Tasos Aslidis to go over our financial highlights.
Anastasios Aslidis: Thank you very much, Aristides. Good morning for me as well, ladies and gentlemen. I will take the next three slides to give you an overview of our financial results for the six and three months periods ended June 30, 2019. The feature that we will review referred to the continuing comparisons of Euroseas, that is we have stripped out for the comparative periods the contribution of the vessels that were spun off in May 2019 into EuroDry. Let's start by looking at slide 17, for the second quarter of 2019 we reported total net revenues of $8.1 million compared to $9.8 million during the second quarter of last year. We reported net loss for the period of $0.7 million, which also includes a $0.3 million charge for the remaining portion of the backend fee of loan and finance that we find out during the quarter as compared to a net income of $2.2 million for the second quarter of last year. Furthermore, we reported a net loss attributable to common stockholders of $1.7 million as compared to a net income attributable to common stockholders of $1.8 million for the second quarter of 2018 The net loss attributable to common shareholders includes the $0.5 million cash dividends, payable to preferred shareholders and the deemed dividend of $0.5 million as well, which is due to the partial intention of our preferred shares and is related to the origination part of the [indiscernible]. Adjusted EBITDA for the second quarter of 2019 was $1.6 million compared to $2.3 million during the same period of last year. Basic and diluted looked per share attributable to common shareholders for the second quarter of this year was $0. 14 calculated on $12 million – plus $12.3 million basic and diluted weighted average number of shares outstanding compared to basic and diluted dividends per share of $0.16 for the second quarter of last year. Excluding the effect on the loss for this quarter, the unrealized gain on derivatives, the adjusted net loss per share attributable to common shareholders for the second quarter of 2019 which have remained unchanged with the loss I mentioned of $0.14 per share compared to our adjusted earnings of $0.03 per share, basic and diluted for the second quarter of 2018. Let's now look at the last slide to review our results for the first half of 2019 for which we reported total net revenues of $16.4 million compared to $18.1 million during this first half of last year. We reported net loss for the period of $0.8 million, which again includes the $0.3 million charge for the remaining portion of our backend fee of loan and finance as compared to a net income of $0.8 million for the first half of 2018. We also reported a net loss attributable to common stockholders of $2.2 million compared to a net loss attributable to common stockholders of $0.1 million for the same period of last year. Net loss attributable to common shareholders includes $0.9 million of cash and kind dividends payable to the preferred stockholders with a dividend of $0.5 million, I mentioned earlier. Adjusted EBITDA for the first half of 2019 compared to $2.3 million during the first half of last year. Basic and diluted loss per share attributable to common shareholders for the first half of 2019 was $0.18, calculated again on 12.3 million of weighted average number of shares outstanding is compared to basic and diluted loss per share of $0.01 for the first half of last year. Excluding the effect on the loss attributable to common shareholders for the period of the unrealized gain on derivatives and the gain on sale of vessel, the adjusted net loss per share attributable to common shareholders for the first half of 2019, which remained unchanged $0.18 per share and compared to an adjusted net loss of $0.14 per share during the first half of last year. Let’s now turn to Slide 18, to review our fleet performance for the second quarter and first half of 2019 and compared to last year. As usual, we have we have broken the utilization rate into commercial and operational. As you can see on the slide, on the left side of it, for the second quarter of this year, we reported a 96.7% commercial utilization rate and a 100% operational utilization rate compared to 99.8% commercial and 93.9% operational for the same period for the second quarter of 2018. I want to remind you here that our utilization rate calculation does not include vessels in scheduled drydock, scheduled repairs or in laid-up if any [indiscernible] activities are reported during the period. In the second quarter of this year, we operated another 11 vessels with a time charter equivalent rate of $8,307 per vessel per day compared to a time charter equivalent rate of $10,028 per vessel per day during the same period of 2018, the period during which we operated 11.95 vessels. Total operating expenses including management fees and general and administrative expenses but excluding drydocking cost was $6,423 per vessel per day for the second quarter of 2019 compared to $6,270 per vessel per day for the same period of last year. As Aristides mentioned earlier, overall, we believe we maintain one of the lowest operating cost structures amongst our public peers and we think this is one of our main competitive advantages in the business. At the bottom of the table, we show our daily cash flow breakeven levels presented here on a per vessel per day basis. For the second quarter of 2019, we reported an operating cash flow breakeven level including loan repayments, but before any balloon repayments of $9,120 per vessel per day as compared to $8,047 per vessel per day for the second quarter of 2018. Let’s now look now to the right part of the slide to review the same information for this first half of this year for which we reported a 98% commercial utilization rate and 100% operational utilization rate compared to 98.8% commercial and 96.8% operational utilization rates for the same period of 2018. Again, I want to remind you that our utilization rate calculation does not include vessels in scheduled drydock, repairs or laid-up. In the first half of this year, we operated 11 vessels with time charter equivalent rate of $8,693 per vessel per day compared to a time charter equivalent rate of $9,228 per vessel per day during the same period of 2018; the period during which we operated 11.97 vessels. Total operating expenses for the period include management fees and general and administrative expenses with excluding direct working costs were $6,624 per vessel per day for the first half of 2019 compared to $6,543 for the same period of 2018. Again, at the bottom of the table we’ll show our daily cash flow breakeven level for the period, which ended on a per vessel per day basis. For the first half of 2019 we reported an operating cash flow breakeven level including loan repayments again, but before balloon repayments of $8,961 per vessel per day as compared to $8,639 per vessel per day for the same period of the first half of 2018. Let's move to our last slides, slide 19. This slide shows on the right hand side our cash flow breakeven level expectation for the next 12 months. And on the left side, we show our scheduled debt repayments over the next several years. In fact, we show our debt profile before there is a refinancing of total vessels that is mentioned earlier. In the left are blue shaded set of bars as well we show our debt profile after both the financial of both the loans and the drawing of two new loans to partly finance the acquisition of the four vessels we mentioned earlier, that is shown with a green set of bars. As you can see in this chart, we do not have any balloon payments this year or next year and we hit quite low-debt payments. Our next balloon payment is not before 2021 when we are due to repay all finance about $19 million of debt that is secured by nine of our vessels. Express in dollars per vessel per day our loan repayments over the next 12 months amounts to about $1,300 contribution to our cash flow breakeven level. We can see our cash flow breakeven at the right side of the slide in the table shown there. By making similar assumptions for the remaining components of our cash flow breakeven that is our operating expenses, G&A expenses, interest, drydock and the cash portion of our preferred dividend. We can come up with an overall expected cash flow breakeven level for the next 12 months of around $8,750 per vessel per day. We believe these low cash flow breakeven level would provide us sufficient flexibility to monitor our operations and to replace our cash reserves depending of course on the market developments over the next year or so. We estimate that every $1,000 per day [indiscernible] above our cash flow breakeven level will be generating approximately $5 million of excess cash flow per year. And with that I would like to turn the floor back to Aristides to continue the call.
Aristides Pittas: Thank you, Anastasios. I would like to open up the floor for any questions you may have.
Operator: Thank you. [Operator Instructions] Your question – your first question comes from the line of Tate Sullivan, Maxim Group. Please go ahead, your line is open.
Tate Sullivan: Hi. Thank you. A question on the acquisition of the four vessels, does the timing of issuing the shares – do you issue the shares when you took delivery of the vessels or how did that work?
Anastasios Aslidis: Yes, we issued the shares when the delivery of the vessel happening, those delivers took places as we mentioned earlier in the first seven days of August, so we issued those shares then.
Tate Sullivan: Okay, at each delivery. And can you help me just with my pro forma balance sheet for the deal, is the value of the shares issued, the value of your share price as of the date of your announcement or is it as of the date you took delivery or how will that work for your accounting for the balance sheet?
Anastasios Aslidis: When the agreement to acquire the vessel happened, the sellers of the vessel agreed on the number of shares to be paid per ship on the basis of the share price or the weighted average – the volume weighted average share price at that time, that's about share price plus a portion that was paid in cash was what we paid for the vessels.
Tate Sullivan: Can you give any details on the approximate total purchase price for the four vessels, sir? I apologize, if you have before, please.
Anastasios Aslidis: Yes. And then the – when the shares were issued, there will be volume in our books, as the shares at the time of issuance, which I think last Friday when we – the latest issuance happened was around $0.55 per share.
Tate Sullivan: Okay. And then just looking at how that will shape the balance sheet with your ending equity of about 1.7 million at 2Q 2019, I mean, and then adding for that purchase price and then my equity for that. Can you give an approximation of your current book value per share – or do we have to wait till the next quarter?
Anastasios Aslidis: I can give you an approximation of the book share for this equity which would be 17 million, 18, I can provide this information separately if you want.
Tate Sullivan: Perfect. Okay. Thank you. That helps with my forecast figure 2Q – for 3Q 2019. Thank you, I’ll jump back in the queue.
Anastasios Aslidis: I’ll follow after the call if you want a tool on this.
Tate Sullivan: Okay. Thank you.
Operator: Thank you. There were no further questions, sir. I'll hand the call back to you.
Aristides Pittas: Thank you for participating in this conference call. We'll be back with our Q3 results…
Anastasios Aslidis: In November.
Aristides Pittas: In November, which hopefully will be profitable as well. Thank you very much.
Anastasios Aslidis: Thank you everybody.
Operator: Thank you. That does conclude our conference for today. Thank you for participating. You may all disconnect.